Operator: Good afternoon. Thank you for standing by. Welcome to Westlake Chemical Partners' First Quarter 2023 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded today, May 4, 2023. I would now like to turn the call over to today's host, Jeff Holy, Westlake Chemical Partners' Vice President and Treasurer. Sir, you may begin.
Jeff Holy: Thank you. Good afternoon, everyone, and welcome to the Westlake Chemical Partners' First Quarter 2023 Conference Call. I'm joined today by Albert Chao, our President and CEO; Steve Bender, our Executive Vice President and CFO; and other members of our management team. During this call, we refer to ourselves as Westlake Partners or the Partnership. References to Westlake refer to our parent company, Westlake Corporation; and references to OpCo refer to Westlake Chemical OpCo LP, a subsidiary of Westlake and the Partnership, which owns certain olefins assets. Additionally, when we refer to distributable cash flow, we are referring to Westlake Chemical Partners' MLP distributable cash flow. Definitions of these terms are available on the Partnership's website. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. We encourage you to learn more about the factors that could lead our actual results to differ by reviewing the cautionary statements in our regulatory filings, which are also available on our Investor Relations website. This morning, Westlake Partners issued a press release with details of our first quarter 2023 financial and operating results. This document is available in the Press Release section of our web page at wlkpartners.com. A replay of today's call will be available beginning 2 hours after the conclusion of this call. That replay can be accessed via the Partnership's website. Please note that information reported on this call speaks only as of today, May 4, 2023. And therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our web page at wlkpartners.com. Now I would like to turn the call over to Albert Chao. Albert?
Albert Chao: Thank you, Jeff. Good afternoon, everyone, and thank you for joining us to discuss our first quarter 2023 results. In this morning's press release, we reported Westlake Partners' first quarter 2023 net income of $50 million or $0.42 per unit. OpCo benefited from strong operating performance in the first quarter across all of our ethylene units which, when paired with improving third-party ethylene sales margins, drove consolidated net income, including OpCo of $91 million for the first quarter of 2023. The stability of Westlake Partners' business model is consistently demonstrated through our fixed margin ethylene sales agreement, which minimizes market volatility and other production risks. The high degree of stability in cash flow, when paired with the predictability of our business, has enabled us to deliver the long history of reliable distributions and coverage. This quarter's distribution is the 35th consecutive quarter distribution since our IPO in July of 2014 without any reductions. I would now like to turn the call over to Steve to provide more detail on the financial and operating results for the quarter. Steve?
Steve Bender: Thank you, Albert, and good afternoon, everyone. In this morning's press release, we reported Westlake Partners' first quarter 2023 net income of $15 million or $0.42 per unit. Consolidated net income, including OpCo's earnings, was $91 million on consolidated net sales of $308 million. The Partnership had distributable cash flow for the quarter of $18 million or $0.50 per unit. First quarter 2023 net income for Westlake Partners of $15 million decreased by $1 million compared to first quarter 2022 Partnership net income of $16 million. Compared to the first quarter of 2022, the partnership benefited from higher production levels that were more than offset by higher interest expense and modestly lower third-party ethylene margins. Distributable cash flow of $18 million for the first quarter 2023 decreased by $1 million compared to first quarter 2022 distributable cash flow of $19 million due to higher interest expense. Turning our attention to the balance sheet and cash flows. At the end of the first quarter, we consolidated cash balance and cash invested with Westlake through our investment management agreement totaling $157 million. Long-term debt at the end of the quarter was $400 million, of which $377 million was at the Partnership and the remaining $23 million was at OpCo. In the first quarter of 2023, OpCo spent $13 million on capital expenditures. We maintained our strong leverage metrics with a consolidated leverage ratio of approximately 1x. On May 2, 2023, we announced a quarterly distribution of $0.4714 per unit with respect to the first quarter of 2023. Since our IPO in 2014, the Partnership has made 35 consecutive quarterly distributions to our unitholders, and we have grown our distributions 71% since the Partnership's original minimum quarterly distribution of $0.275 per unit. The Partnership's first quarter distribution will be paid on May 26, 2023, to unitholders of record of May 12, 2023. The Partnership's predictable fee-based cash flow continues to prove beneficial in today's economic environment and is differentiated by the consistency of our earnings and cash flows. Looking back, since our IPO in July of 2014, we have maintained a cumulative distribution coverage ratio in excess of 1.1x and the Partnership's stability in cash flows. We have been able to sustain our current distribution without the need to access the capital markets. For modeling purposes, our planned turnaround at our Calvert City, Kentucky facility began this week and is expected to last 30 days. This is their only planned turnaround for 2023. And as a reminder, the cost of this turnaround has been included in the amount we charge to Westlake and has been fully reserved for and funded as we commenced the turnaround. In prior years, where we have a planned turnaround such as this one, the distribution coverage ratio was impacted for a period of time before recovering. And for this turnaround, we would expect a similar result. Now I'd like to turn the call back over to Albert to make some closing comments. Albert?
Albert Chao: Thank you, Steve. We are pleased with the Partnership's financial and operational performance in the first quarter. We believe that this performance should continue through the rest of the year. We remain optimistic about the demand fundamentals for ethylene driven by steady downstream derivatives needs by our parent, Westlake, and improving end-use market demand in consumer products and packaging. Our ethylene sales agreement which provides a predictable fee-based cash flow structure from our take-or-pay contract with Westlake for 95% of OpCo's production will continue to deliver stable and predictable cash flows through economic ups and downs as well as planned and unplanned turnarounds. Turning to our capital structure. We main a strong balance sheet -- we maintain a strong balance sheet with conservative financial and leverage metrics. As we continue to navigate market conditions, we'll evaluate opportunities via our 4 levers of growth in the future, including increases of ownership interest of OpCo; acquisitions of other qualified income streams; organic growth opportunities, such as expansions of our current ethylene facilities; and negotiations of a higher fixed margin in our ethylene sales agreement with Westlake. We remain focused on our ability to continue to provide long-term value and distributions to our unitholders. As always, we will continue to focus on safe operations along with being good stewards of the environment where we work and live as part of our broader sustainability efforts. Thank you very much for listening to our first quarter earnings call. Now I'll turn the call back over to Jeff.
Jeff Holy: Thank you, Albert. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available 2 hours after the call has ended. We will provide that number again at the end of the call.
Operator: [Operator Instructions] And we now have Matthew Blair with TPH.
Matthew Blair: Hey, good morning, Albert and Steve. I wanted to check in to see how you're feeling about the value proposition from the MLP. There was an offer for another MLP roll-up today, and the parents said it would do things like reduce corporate costs and simplify the overall structure. So how are you feeling about the value coming from Westlake LP? And just keeping in mind that there hasn't been a drop or a distribution increase in 2 or 3 years, so are you still confident that there's future potential here?
Steve Bender: So Matthew, it's a good question. And the Partnership still trades at a multiple premium to Westlake Corporation. And as you noted, we haven't done a drop-down in several years, and it is because of the challenge to get that right kind of valuation with the right kind of capital. We certainly maintain a strong view that with that arbitrage between the Partnership and Westlake Corporation that it still remains attractive to Westlake Corporation and to the Partnership to do a drop-down if we can find a transaction and fund that transaction at an attractive value. So we continue to show interest in that and look for opportunities where that might arise.
Matthew Blair: Okay. Sounds good. And then in terms of the Calvert City turnaround impact in Q2, so you said that the distribution coverage would be impacted. Are you expecting like any sort of buyer's deficiency fee? I don't think you would because it's a planned turnaround instead of unplanned downtime, but just wanted to check in on that.
Steve Bender: That's right. We do have this as a planned turnaround. And so the expectation is we would not have any buyer deficiency fee or shortfall. So as we execute the turnaround, those planned pound of production that will be lost because of the outage were built into our forecast. And as is normally the case, the coverage will dip below the targeted 1.1 coverage ratio. But we fully expect that as we complete all turnarounds both this year and into 2024 that we would see recovery back to our normal coverage ratio target that we've traditionally set. That's the behavior we've seen in all previous turnarounds, and I would fully expect that to occur once we complete all the turnarounds we have in mind.
Operator: At this time, the Q&A session has now ended. I will now turn the call back over to Jeff Holy.
Jeff Holy: Thank you. Thank you again for participating in today's call. We hope you'll join us for our next conference call to discuss our second quarter 2023 results.
Operator: Thank you for participating in today's Westlake Chemical Partners' First Quarter 2023 Earnings Conference Call. As a reminder, this call will be available for replay beginning two hours after the call has ended and may be accessed until 11:59 Eastern Time on Thursday, May 18, 2023. The replay can be accessed via the Partnership website. Goodbye.